Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the ACM Research Second Quarter 2021 Earnings Conference Call. Currently, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instruction] Now I will turn the call over to Mr. Gary Dvorchak, Managing Director of Blueshirt Group. Mr. Dvorchak, please go ahead.
Gary Dvorchak: Thank you, and good morning, everyone. Good evening in China. Thank you for joining us on today’s call to discuss second quarter 2021 results. We released results after the U.S. market closed yesterday. The release is available on our website as well as from Newswire services. There is also a supplemental slide deck posted to the investor portion of our website that we will reference during our prepared remarks. On the call with me today are our CEO, Dr. David Wang; our CFO, Mark McKechnie; and Lisa Feng, the CFO of our operating subsidiary, ACM Shanghai. Before we continue, please turn to Slide 2. Let me remind you that remarks made during this call may include predictions, estimates or other information that might be considered forward-looking. These forward-looking statements represent ACM’s current judgment for the future. However, they are subject to risks and uncertainties that could cause actual results to differ materially. Those risks are described under Risk Factors and elsewhere in ACM’s filings with the Securities and Exchange Commission. Please do not place undue reliance on these forward-looking statements, which reflect ACM’s opinions only as of the date of this call. ACM is not obliged to update you on any revisions to these forward-looking statements. Certain of the financial results that we provide on this call would be on a non-GAAP basis, which excludes stock-based compensation, a loss relating to a change in fair value of financial liability and an unrealized gain in trading securities. For our GAAP results and reconciliations between GAAP and non-GAAP amounts, you should refer to our earnings release, which is posted on the IR section of our website. With that, let me now turn the call over to Dr. Wang, who will begin with Slide 3. David.
David Wang: Thank you, Gary. Good day, and welcome to today’s call. We had another productive quarter with solid financial results. We delivered record revenue and shipments with good profitability. Second quarter results reflect ACM growing customer base, technology leadership, expanding product line and increased production scale. Revenue grew to 54 million, up 38% year-over-year. Shipments were 82 million, up from 45 million in the second quarter of 2020. We delivered a good balance of growth and profitability, with 40.5% gross margin and 10.4% operating margin. We are committed to drive profitable growth as we increase our investment in R&D to drive innovation, further strengthening our existing product portfolio and grow our addressable market with new products. On the bottom line, we reported $0.19 of net income per diluted share compared to $0.29 in the same period last year. We ended the quarter with 70 million of cash. In addition, we hold SMIC’s stock market share was 31 million as of quarter end. I will now discuss the recent operational highlights on Slide 3. First, our Q2 revenue growth was broad-based, driving by current and new products and current and new customers. Our wet cleaning and other front-end tools represent 85% of total sales in Q2. We had a good growth from our flagship SAPS product with incremental contribution from our semi-critical tools, advanced packaging, other products and service and grow significantly to 15% of sales versus about 3% last year. The strong growth of this group was driven by advanced packaging tools, including weather, etcher, stripper, developer and colder and a big increase in our service and spare part business. The first-generation semi-critical and advanced package tool accelerated our revenue growth and further strengthening our position as a leader supplier in the China semiconductor industry. The higher mixing of the product, however, partially dilute our gross margin during this introduction stage. We enter this new market segment to capture the strong demand from our China-based customers and to deepen the moat that easily our flagship product from competitors. In Cleaning, our newer semi-critical tool, the ACM flagship SAPS, TEBO and Tahoe products to cover more than 80% of the total Canadian market opportunity. In advanced packaging, our newer ECP AP product line expanding our current portfolio with highly differentiated products. Put it all together, we remain committed to our 40%, 45% corporate gross margin target. As a part of our normal product management, we expect improvement in gross margin for our semi-critical and advanced package group. This will come from tightening feature content as we early model and - range of options for customer evaluation and cost reduction in later generation models. We also expect a cost benefit from volume production. Meanwhile, gross margins for our flagship cleaning products remain consistent with the past period, which we expect to continue. ACM strategy is to enter a market with advanced differential products, such as our flagship commuting product, our ECP tools, advanced further stores and other new innovative products. This product allows us to win major customers and provide us the profits to fund future product developments. It also allows us to enter middle range or lower end products that may come with a lower margin early stage, but allow us to capture a much larger market opportunity as we scale the business. We remain committed to our gross margin target, which we believe we can achieve by balancing continuous innovation at high end with disciplined product management cost, engineering and production scale. Let’s turn to Slide 5 to discuss ACM growing customer base. We have five major front-end customers in foundry 3D NAND and DRAM. In 2021, we expect Qualcomm and to remain our top two customers. We expect good growth from them this year. However, each may represent a lower percentage of total revenue as we expect to see significant growth from other customers. We also expect the contribution from SMIC, SK Hynix and CXMT. Importantly, we recently saved new orders of several tools from SMIC for the second half of the year. During the past 12- months, 18-months, our team has done a great job of broadening ACM tool content at SMIC, including a full range of products and ECB tools. We are gauging indication of higher demand from SMIC in 2022, but it is still early. SMIC demand is subject to further licensing progress by them with other U.S. equipment supplier. We recently added a number of new China-based semiconductor customers, who manufacture power, analog, CMOS image sensor, compound semiconductor and other devices. This customer, including four of five Tier two players and a handful of new Tier 3 and other customers. Although it is a relative small that new Tier two and Tier 3 customer as a whole could contribute 10% more -. As newer customers are investing in new capacity to support the growth of IG, ALT and EV technology. ACM has good penetration with a range of tools, including semi-critical ECP and the furnace products. Our third customer growth is advanced packaging and other processing customers. Top customers have, including and wafer works. In Q1, we discussed the order from two advanced packing house, and we now expect to add more customers as moving through the year. Collectively, we expect a significant growth from the group by increased industry focus on advanced packaging penetration of new customers and a new product cycle for ECP tours. Looking ahead, we believe that our current customer base represent a significant opportunity for ACM. Most of these customers are still in early or middle stage of the multiyear capacity expansions. We remain committed to further broadening our customer base as we believe every major semiconductor manufacturer can benefit from our technology. Please turn to Slide 6. We delivered total shipments of 82 million in the second quarter, a new record in the Company’s history. Shipment in Q2 were 28 million higher than revenue. The difference largely represent shipment of first tool awaiting customer acceptance. We view this as a positive indicator as it reflects demand for new products and from new customers. This level of shipments is a testament to ACM production team in our Chuansha factory. We are scaling capacity to meet strong customer demand in a generally high supply chain environment. Our in-house high-performance factory and the trends of our manufacturing team are helping us manage near-term supply chain on-stream. That gives us confidence in our ability environment entering the second half of this year. We plan to begin production in the second building of our Chuansha factory in the third quarter of this year. We have increased our capacity plans and now targeted run rate exiting Q4 of this year that represent more than 500 million of annualized production capacity up from 350 million at the beginning of this year. We expect to further increase production capacity in 2022. Our is built production and R&D center in the Lingang region of Shanghai, the one million square feet of floor space will enable us to increase our annual production capacity to US$1.5 billion. We completed additional architecture and design work in the second quarter with initial production now parked in the beginning of 2023. Please turn to Slide 7. We continue to invest in new products to broaden our offering. Today, I’m pleased to announce TEBO extension to our weather product line. This product using a web-edge method to remove dielectric metal and organic materials films as well as contaminants under wafer edge. ACM edge approach minimizes the impact of edge contamination for later process steps and thus improving manufacturing yield. The Bevel Etch product leverage ACM’s web processing expertise to deliver performance benefit compared to joint approaches. In the consumer less chemical and support a broad range of device types and process steps, including 3D mass, DRAM and advanced logic process. We expect to ship our first tool for high-volume manufacturing to China-based logic manufacturer this quarter. Additionally, with ACM proprietary technology, this new Bevel Etch product can achieve more accurate and efficient wafer centering alignment. This will enable our precise Bevel Etch and will enhance product yields and wafer throughput. In addition, we are currently developing advanced technology to deepen our leading market position in which we will add more products to our portfolio in 2022. We remain bullish in our ECB product line in from smaller geometry require advanced plating solution. Meanwhile, back-end advanced packaging are becoming more important as industrial looks for packaging innovation to drive higher performance as the industry moves beyond more so. Our ECP product line indicates ECP map, a front-end tool for damaging copper interconnection, the ECT TSV - for also for front end and ECAP for advanced packaging, we believe the total global market for ECP will triple from $500 million last year to up to $1.5 billion in the coming years. Although we did not - revenue in the second quarter, we delivered three first two to three customers. We expect to deliver higher volume ECP tools in the second quarter - second half of this year, with a good revenue contribution from repeated shipments in Q3 and Q4. We also continue to see strong interest for our ultra FM furnace joining process tool portfolio. We delivered several first tools, including TEBO in the first half and expect to deliver additional units as we progress through the year. We remain on-track to add a high temperature oxidation and to our furnace product line in the third quarter of 2021. Building on that, the next major development in our furnace road map is to the batch economic layer separation or ALD process. We view this as the most challenging and promising product for advanced manufacturing nodes. We expect the furnace product cycle to become more meaningful in 2022 time frame. We are making significant R&D investments in two major new products categories to achieve our goal of doubling our total addressable market from five billion today to more than 10 billion. We continue to bring in top engineering talent to support these programs and are confident our team will deliver products and move forward with customer evaluations on the first product line in the first half of next year and the second product line in the second half of 2022. I’m happy to report we made good progress with the potential U.S. and Taiwan-based customers since our last call, despite the COVID-related travel restrictions our team is heavily engaged in business development. We are confident that we can secure orders from at least one new major first tier global semiconductor manufacturers in 2021. Before I provide our updated 2021 outlook, let’s discuss the status of stock market IPO of ACM Shanghai. We continue to make good progress. On June 10, 2021, the Shanghai Stock Exchange Commission for ACM Shanghai’s application for registration with IPO to China Securities Regulatory Commission, CSRC moving us a step closer towards our goal. We are hopeful that the CSRC approves and complete our registration suite. When we receive CSRC approved, we estimate that the insurance process will take another one to two months. Keep in mind that the timing is subject to numerous factors outside ACM Shanghai control. We are confident that eventual stock market is being combined with our NASDAQ can provide a strong foundation to accelerate our mission to become a major global player in semiconductor equipment industry. Now let’s move to our 2020 outlook on Slide 8. Our guidance reflects optimism about our growth opportunity for 2021. Based on our strong results through the second quarter and improved visibility for demand and our supply chain through year-end, we have risked outlook for the full-year. We now expect the revenue to be between 225 million and 240 million, offer from the private range of 205 million to 230 million. The revised revenue range represents 48% annual growth at the midpoint. Our updated outlook for 2021 is based on several key assumptions: first, the global COVID-19 situation continues to improve; second, the stability in U.S. China trade policy; third, a range of spending scenario for the production ramp of key customers; fourth, variance in the trajectory of the DRAM recovery; and finally, a range of timing of customer acceptance of first tool. Our results and outlook demonstrate the successful execution of our strategy. Our strong growth is supporting additional R&D spending on new products. We are building our global sales and marketing resources to penetrate new customers in new regions, and we are scaling production capacity to support our long-term growth plan. Our mission to become a major economic supplier for the global semiconductor industry remains on-track. To conclude, I would like to thank our employees for their hard work and dedication. I also want to thank our customers, partners and shareholders for their continued support and confidence in ACM Research. I will now turn the call over to Mark to discuss the financial results in more detail. Mark, please.
Mark McKechnie: Thank you, David, and good day, everyone. We delivered solid financial results in the second quarter. Unless I note otherwise, I will refer to non-GAAP financial measures, which excludes stock-based compensation and unrealized gain in trading securities. A reconciliation of these non-GAAP measures to the comparable GAAP measures is included in our earnings release. Now on the second quarter shown on Slide 9. Revenue was 53.9 million, up 37.9%. Revenue for single wafer cleaning tools, which include SAPS, TEBO, Tahoe and our semi-critical cleaning, was 45.5 million, up 36.4% and 33.3 million. We had no revenue for ECP furnace or other technologies during the second quarter. As David noted, however, we delivered three first tools in the quarter, and we expect more revenue contribution in the back half of the year. Revenue for advanced packaging, excluding ECP, services and spares, was 8.4 million, up from 1.2 million in 2020. Total shipments were 82 million versus 45 million in the second quarter of 2020 and 74 million in the first quarter of 2021. This includes deliveries for revenue in the quarter and deliveries of systems awaiting customer acceptance for potential revenue in future quarters. This represents another quarter of record shipments, a great accomplishment by a production team given industry wide supply constraints. Gross margin was 40.5% versus 49.7%. This was at the lower end of our normal expectation range of 40% to 45%. The decrease in gross margin, as David mentioned, was due in large part to product mix. We expect gross margin to continue to vary on a quarterly basis due to a variety of factors, including product mix and manufacturing utilization. Operating expenses were 16.1 million versus 11.2 million. The increase in operating expenses reflected higher R&D on new products, our expanded U.S. sales team and legal costs related to our U.S. civil suit and the China STAR market IPO. R&D expenses grew by 52% to 7.7 million or 14.2% of sales versus 5.5 million or 12.9% of sales last year. The increased R&D intensity reflects ACM’s commitment to new products and innovation. We expect to continue to increase our R&D spending in 2022. Operating income was 5.7 million, down from 8.2 million. Operating margin was 10.5% versus 21%. Unrealized gain on trading securities related to the change in the market value of our SMIC investment was 3.8 million in the second quarter of 2021. Note that we exclude this non-cash item from our non-GAAP results. Tax expense was $15,000 versus $1.9 million in the year-ago period. Net income attributable to ACM Research was 4.1 million versus 6.2 million in the year-ago period. Net income per diluted share was $0.19 compared to $0.29 in Q2 of 2020. Tax items and the effects of foreign exchange fluctuations on operating results provided a net headwind of $0.3 million or a penny per share in the second quarter of 2021 versus a net headwind of $0.9 million or $0.04 per share in the second quarter of 2020. We will now review selected balance sheet items. Our cash balance was 70.2 million at the end of the second quarter versus 78.8 million at the end of the first quarter. In addition to the cash balance, we also had trading securities of 31.3 million related to our SMIC investment. This includes a significant unrealized gain from our original purchase price. Total inventory was 136.9 million at the quarter end, up by 33.6 million from the prior quarter. The quarter-on-quarter increase was driven by two items. First, finished goods inventory grew by 68 million - to 64 million. This represents first tools that have been delivered to customers for evaluation and are carried on our balance sheet at cost pending potential customer acceptance. The second item is work in process and raw materials, which in total grew by 16.8 million from the prior quarter. This was due to purchases to support shipment growth expected for the remainder of the year. Short-term borrowings at quarter end were 22 million, down from 23.5 million at the end of the first quarter. Long-term borrowings were 18.7 million, up 1.3 million from the first quarter. Cash flow used by operations was approximately 10 million for the second quarter, but it was slightly positive for the first half of the year. For 2021, our base case plan for capital spending is about $15 million. This includes $2.8 million already spent through the first half of the year. Our 2021 investments will be primarily focused on capacity increases at our tranche factories, investments to support our R&D programs and planning and some initial spending on Lingang. In sum, we continue to execute on our strategy. We are participating in the growth of major new line IC fabs, we are ramping production, and we are developing and delivering new products to a growing list of customers. We are positive on our opportunities in China and expansion outside of China. We remain committed to achieving our mission to become a major player in the semiconductor equipment market. Let’s now open the call for any questions that you may have. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] We have our first question come from the line of Patrick Ho from Stifel. Your line is opened. Please go ahead.
Patrick Ho: Thank you very much. Congrats on the outlook. Maybe for David or Mark, the semi equipment industry has gone through a lot of supply chain constraints over the past quarter. Given your results and your outlook, it looks like you are managing it very well. And can you just qualitatively give a little bit of color on whether you are seeing any supply constraints, your supply chain is probably a lot different than some of my American companies. But I was just wondering how you saw supply chain constraints during the quarter or going forward?
David Wang: Okay. Thank you. Actually, you can see that the market is moving, the component of supply is getting tight and tight, right. So we do see some long-leading items get further longer. So the only way we manage that is that we are based on our projection in the half year and beyond. And then we are looking for the early or early purchases, right. And there is a long-leading item. So we do see some components getting longer, which impact us. However, we get a pretty much good control. And we will continue to see that, hopefully, this should get improved. And at this moment, we feel comfortable about our revenue this year. And actually also, we are also confident about also our shipments this year, too.
Patrick Ho: Great. That is helpful. And maybe as my follow-up question for Mark. Gross margins between the 40% to 45% range. A lot of moving pieces every quarter. As we look at the high shipments in relative to into first-time tools to customers, how do you balance that versus your overall, I guess, normal operations, because if you get a quarter of multiple systems, that could and pressure on gross margins and take you out of that range. What are some of the steps that you are taking to try and ensure that the gross margin expense given the number of and evaluating is out in the field?
Mark McKechnie: Great. So yes, Patrick, I will comment on and maybe, David, if you wanted to add to it. Look Patrick, it is an art and a science certainly. I mean, right now, demand is quite strong, and so we are focused on our production. We do what we can, of course, to balance our revenue items versus our first tool shipment items and to balance the gross margins. But many times, really, our customers have strong demands, and we do what we can to support our customers. So it is very important for us to focus on innovation at the high end, but then we are also moving to deliver some round out the product market to create a moat between us and our competition. So we do feel very comfortable that we can balance all the items to deliver the gross margins in the range in the 40% to 45% range. David, do you want to add anything to that?
David Wang: Yes. Actually, you mentioned quite a bit good. I want to add something really in this moment, I think, for us, we want to get the balance product portfolio, right. And you will see that say a year-ago, most of our shipment is a single-wafer and those are normally higher margins. And those margins still keep not changing. As we introduced semi-critical products, and also more of an advanced tool in the packaging, and they are spreading lower-margin product come out, right. So we combine together, that is kind of a margin you see dilution. However, as we continue to mature our products, even in the semi-critical tool and also control our cost for manufacturing, also production plus where additional innovation product ECP continue to mature cell and also advance furnace come out. And so we will see that continue, right. So we believe at this moment, we try to also secure our position and also especially keeping competitors getting to our flagship product. It was to get this semi-critical or other relatively low profile products. However, as I said, with our confidence with also future innovation, keep growing even add a new community function, more of a new feature even for a community major product. Then we will see better margin eventually get back, right. We are still cover it is 40%, 45%. And as I said, continued innovation and new product development that will help our margin keeps growing in the range.
Patrick Ho: Great. Thank you very much.
David Wang: Thank you.
Operator: Our next question comes from the line of Quinn Bolton from Needham & Company. Your line is open. Please go ahead.
Quinn Bolton: On the ECP sort of outlook and hoping you might be able to spend just a little bit more time, talking about the ramp that you expect for maybe if you could give us a sense how many tools you have, ECP tools you have waiting customer acceptance and any thoughts whether ECP might be able to get to 10% of revenue next year or is it ramps and customers accept tools?
David Wang: Okay. You are looking at ECB product, we got actually a major, I should say, three major categories. Let me clear that one is the demising process, we call ECP math. And the second one, we call ECB major for the Number three is actually our advanced packaging tool, which we deliver for their packaging, and or other advanced package requirements. Number four, we come with actually another copper plating and for the compound semiconductors, relatively small size, six-inch and mostly eventually expand eight-inch. So it is products for expanding. This year, we see quite a bit of a shipment and to the new customer. We are looking for actually probably 20-plus total will deliver total again this year. And some of them are recording revenue. But most of them, I mean, as you say, it is hard to tell right now, but some of them will be difficult to next year. But again, obviously, next year will become a repeat order, and then that will be real other bigger revenue boost or revenue, I call the product and to our portfolio next year.
Quinn Bolton: So it sounds like if you have got 20 million plus of tools delivered this year, repeat orders -.
David Wang: No, I’m sorry, not 20 million, 22 number not 20 million.
Quinn Bolton: 20, wow. Okay. Got it.
David Wang: Yes. That is a lot of number, right, you know that.
Quinn Bolton: Got it. So we can definitely get to 10% of revenue pretty quickly. Got it. And then Mark, just your thoughts on OpEx. I know you guys are increasing the R&D to invest in all the new products. But as we look at the quarterly progression of OpEx, can you give us any sense as to what kind of increases you might expect into Q3 and thoughts whether OpEx would increase further in Q4, whether it would follow normal seasonality and maybe tick down a little bit in the fourth quarter?
Mark McKechnie: Yes. I mean we don’t give a lot of detail on our OpEx. We tend to guide on the top line. But for the year, we think the OpEx would be 28%, 29% sales kind of a good mix of R&D that we talked about sales and marketing and then followed by G&A. So yes, you don’t expect any kind of significant changes in the back half of the year. So you should get a little leverage in the back half of the year on the overall revenue growth.
Quinn Bolton: Got it. Thank you.
Operator: Our next question comes from the line of Krish Sankar from Cowen. Your line is open. Please go ahead.
Krish Sankar: Hi thank you for taking my question. I had two of them. First one, David, on the Bevel Etch using wet chemistry, who are the main competitors because it seems like most of them use dry. I’m just trying to figure out who the comps are on the Bevel Etch process? And then I have a follow-up.
David Wang: Great. Actually, like you said, I mean, I should say, in last probably 10 year, right, a lot of Bevel Etch is by the dry etch process, which is, I should say, it is pretty good performance. However, still you have other remaining I call, etch right. And then for that fortune, we got clean again. The wet process I call it, etching tool, you are just wet edge process, making a much better profile and also give you a clean etcher without almost no particle on top. So that is really how we reduce the particle contamination and edge - for our case, actually also innovative method, as I mentioned, we have a very precise alignment to control the center or to test the wafer. And so therefore, we can reach much better centering performance, therefore, reaching much better control for the Bevel accuracy were leading to the better yield, right. That is our product.
Krish Sankar: Got it. Very helpful. And then just a follow-up on electroplating. Thanks for the color on the different drivers for electroplating. I’m just kind of curious David, you mentioned the electroplating market could triple to 1.5 billion in the next few years. I understand the different drivers like couple and compound but it almost seems like for the last few decades, this market is under $0.5 billion. The throughputs are pretty hard, they are pretty low. So I’m kind of curious what gets you to a tripling in market price to $1.5 billion? Is it just these four drivers you spoke about or is there anything else going on like ASP increases or throughput reduction happening?
David Wang: Yes. Okay. Great. I think the major driving cost is still from, I should say, probably Tier 3 and also the 3D packaging, right. Obviously, process has been like it is very stable. Obviously, the more volume, more wafer people talk about, that is a continued grade increase. I think more of the driving we see here is like all the 3D packaging. Now they are talking about from 200 microns, mega peeler. With this kind of a higher peeler, you need more of a passive time into placing such a thicker peeler, right. So also, they talk about 2.5D and 3D. So there is a much more 3D application come out and for the packaging. Obviously, not only for advanced, I call, application, even people today consider even 28 nano or even 40 nano, they are trying to combine with the advanced packaging technology. There have been further enhance the performance. So with that in mind, we think this market continue to grow, right. And people project this year probably reach 700 million as a total and packaging altogether. So we see that growing opportunity. And again, because driving by the whole mortgage law, right. People focus on their on a lot of advanced package approach.
Krish Sankar: Very helpful. Thanks a lot David. Thank you very much.
David Wang: Thank you.
Operator: Our next question comes from the line of Charlie Chan from Morgan Stanley. Your line is open. Please go ahead.
Charlie Chan: Thanks for taking my question and great results, David good evening and Mark Good morning. My first question is about the lead time between your shipment to the revenue. So maybe, Mark, can you please remind us what is the lead time?
David Wang: Maybe I should take first, Mark. And at this moment, I should say, our average time around six-months already, right. And again, average some specific product shorter, something may be longer. It is about two months longer than our previous four-months time line. So that is how is it now. Hopefully, as time going on, we can shorten the prior cycle. At this moment, still, I should say, supplying a certainly a long-leading item take a much longer time to get in hand. That is the major reason.
Charlie Chan: Okay, thanks. Yes, because I asked this because you talked about your annualized production, right. So if I look at second quarter, your shipment is above US$80 million. And the full-year production is exactly US$350 million. So I’m thinking that when you try to expand your in-life production to US$500 million. My question is that when will Company’s revenue scale will hit US$500 million?
David Wang: Well, the tough question. Again, right, I mean, shipment member, we normally do not the real quarter final release in almost end of the year, right. So I can tell you this year, our shipment is much, much higher than last year. And actually number, I just say I might be waiting for our Q4 early release. But then I mentioned - $5 million revenue or shipment, right, So if it is a shipment probably easy to reach, right, hopefully, within next year. But revenue-wise, we are still based on what do you say, a lot of the new products and new customers are recognition big time, right. So again, I can see that a lot of shipments going on, but revenue-wise, we will give you probably by early next year, then we see more visibility, what is our sales order next year.
Operator: Our next question comes from the line of Donnie Teng from Nomura Securities. Your line is open. Please go ahead.
Donnie Teng: My question is really related to your customers, right. So in your prepared remarks, you mentioned about that you recently received new orders for several tools from SMIC for the second half of the year, right. So I’m just wondering is there any approval granted by SMIC U.S. suppliers so that they can start to procure more equipment from SMIC research as well or is there any other reason behind and for another customer like 1TC, right. So I think 1TC is running out of its Phase I capacity expansion maybe by end of this year or maybe sometime next year. So just wondering if you could kind of give us some update on maybe when will 1TC start potential Phase II capacity expansion? So this is my first question.
David Wang: Okay. Okay. Well, again, regarding licensing, there is a lot of different information flow in the market, right and we do see some - anyway, our same player in the industry, they said they got a license with for the entire tool or for the big tool. And also, we heard some even component supplier, they also get their license too, right, a couple maybe four-year onetime license. So again, we see that, I call that a tension get released. But again, I don’t know all this total product and SMIC is going to buy how much percentage get how much is not yet. So that information, I really cannot comment. That I heard so far as I see. But however, we do have indication and they are trying to expansion, their demand, their customer, they really demand their capacity, right. So next year, they do have an expanding plan go into next year right. So we will see probably as a timing go reach this year and also mid-Q3, we can see more clear picture on that. Regarding 1TC, as we know, their Phase 1 factory, almost a floor occupied, right, and by capacity. And probably end of this year that the first Phase two fab is going fully loaded. Then if we look in that building, right, I can only say what I say here, right, what is confidential. So if you look at outside the building, they building the next one, that in the process. So by that second building right now, we probably can say by end of this year, they can finish the construction. And then again, we are as a major supplier, we are expecting uptick construction, they should expand in their second fab. Recently, I heard that they will make a successful 128-layer manufacturing, right. So with that, the technology be developed, it is very natural thinking that to continue expanding their 128-layer mass production. And obviously, this is a racing game. We are also expecting that going to 198 or even more of R&D for the coming year. So 1TC is a very good customer for us, and we have a very good relation. And also, we are expanding our product portfolio right, not just only Canadian product, and we are expanding also other like copper plating and also other products, eventually getting to the 1TC, also all the new advanced requirements, especially for the 225 layer and above. We are doing very good, I call it, planning to improving all products we have today to make sure we can meet the requirements, right, two-years, three-years from now, probably not trying three layer even more. So we are working very close and to joint develop our new products to meet their future requirements.
Donnie Teng: David, I have 1 follow-up on SMIC. So when you say that you receive new orders from SMIC, is that for like the Shanghai fab, the most high fab or like Beijing, more mature nodes like above 28-nanometer?
David Wang: Yes, we got actually from Beijing, mature two notes. And also, I say that the expansion, as I mentioned, right, they compile also Beijing most happen, maybe Zhangjiang. That is what we are hearing so far.
Donnie Teng: Okay. And my second question is probably for maybe longer-term business expansion, right. So I think based on your sales scale, right, if we consider you have maybe like 80% of sales roughly from wafer cleaning tools, then I guess it probably will translate into like at least more than 10% of the market share in China already in terms of wafer cleaning tool. So I think probably you are already the biggest one and continue expanding market share in China domestically. But I think that kind of market share has been pretty high, right. So inevitable, you need to expand to more new product portfolio, as you just mentioned, like ECP advanced packaging, et cetera. But on the other hand, previously that you are also trying to penetrating into overseas leading semiconductor customers. So I’m just wondering which targets all the priority right now and could you kindly give us some update on your expansion in the overseas market?
David Wang: Great. Great. Okay. I should say both important, right? Both market in China is important and also outside China is important. And actually, our long-term goal, let me give the long-term goal, we are trying to make our revenue 50% come from China market and 50% from outside China market, right. And that is why we are actually hire a building a strong game in the U.S. to approaching a leading customer U.S., also enhance our team in Taiwan too, right and plus recently also we have further enhanced our sales team in Europe. We believe our core, our proprietary technology like SAPS and TEBO for 3D cleaning without damaging and also Tahoe product with our, I call it, speeding projects. And we actually see that we also add additional new function, new requirements and further strengthening our community products, right, in the advanced nodes, too. So with all the innovation in the hand, we are trying to first, probably in the China and the Korean market. And we believe our products will eventually all major customers in the world. Every key customer, they need a best technology, right. As I said, again, our proprietary technology and is a real unique approach we are providing. And with all the benefit, we think our differential product will get into the market outside China, right. And we are very confident, and we see that as a big movement and also building in the U.S. So we definitely want to participate better in gross market in the U.S. And also, obviously, you can see the growing market in Taiwan. And the potential maybe something happening in Europe, right, that people talk about it too. So as ACM today, really were, again, equal important even revenue may do come from Mainland China right now. However, we do see our future growth and also will come from outside China.
Donnie Teng: Alright. I have a follow-up, right, because previously, impression is like you put more focus on expanding overseas customers. But in past few quarters, it looks like our new products or our new equipment expansion to be faster than expected. So we put more emphasis there. I’m just wondering, is this kind of situation a correct way to say or does that mean that our schedule qualification schedule with overseas customers continuing to be postponed?
David Wang: Well, again, I would say we are working closely. Again, because I should - not a final material yet. But again, we are having making progress, and when the time and reaching then we are going to announce that. But this moment I said that we are very working closely with the customer.
Gary Dvorchak: Yes and sorry we should probably move on to the next question. Yes.
Operator: [Operator Instructions] Our next question comes from the line of Chaolien Tseng from Credit Suisse. Your line is open. Please go ahead.
Chaolien Tseng: Okay, thanks. So David, you give a strong color on SMIC and can you talk a little bit about SMIC because I’m just curious that as they have been doing pretty well with all the other major guys in China. It seems that business is a little bit lower with SMIC? Thank you.
David Wang: Yes. Actually, we do see that business pick up, and probably you will see it in two locations, one in Beijing, one in the And again, we are working close with them I will see that some, I call, order were already and from Beijing new factory too. I know they have a bigger 40,000 expansion, and that will keep going and the partial release that order, we will say probably most of what happened next year, but there continue improving the technology and improving capacity. So we will see, and we are working very close with them to our product and also copper and also further try to work with them together, expanding our furnace product, right, getting to their production line to for their evaluation. So it is good customer, and we hopefully, eventually, they become a top customer for us and in the coming years soon, so that is our effort to put here to win the customer at [indiscernible].
Chaolien Tseng: Thank you David.
Operator: Our next question comes from the line of Suji Desilva from ROTH Capital. Your line is open. Please go ahead.
Suji Desilva: Hi David, hi Mark, congrats on the progress here. On the global customer, I know you said you are going to ship in calendar year 2021. And since you have six-month lease, I guess, you have the visibility there. Just trying to understand if this is a production volume or pilot volume, is it SAPS, TEBO or back end, advanced trailing node, that kind of color would help. Thanks.
David Wang: Well, and I really couldn’t release any product, obviously, control, even if there is not a lot, I talked about which product they are buying. Anyway, we are not going to say that across that will be the evaluation tool and hopefully, at the end of the repeat order PO and the typical process. First of all, the valuation, even liking the type of product, they get all the production verification then we will hopefully get to get order, so anything we will repeat what that is going to happen next year that is the were expecting. Again, it is a good opportunity. That is why we are doing very good effort and make our team really sales and also servicing and all other related logistic support, right, for those to happen.
Suji Desilva: Okay David. I appreciate that color. Thank you so much. Bye.
Operator: Our next question comes from the line of Chi Tsai from Jefferies. Your line is open. Please go ahead.
Chi Tsai: Hi David, hi Mark, thank you for taking my question. Could you give us some color on your Asia, you said you are going to take another one to two months? So can you share what kind of process you are left with the CSRC, what is going to check for the IPO to go there?
David Wang: Okay. Good. So Chi, actually, as I mentioned, on June 10, with actually the SSEC, Shanghai Stock Exchanging, based on application to the CSRC. So we are going through a question-and-answer. Actually, so far, the question give us all answered already, and now I have been probably in their internal procedure process and to get a final and also just two days ago, we also submitted Q2 financial review and to the CSRC also. So we will see maybe the some questions come back to our Q2 data. And anyway, we are prepared for that. Again, ACM probably is the first U.S. company has a headquarter in the U.S. They also have IPO, with their subsidiary in Shanghai and apply for a market IPO. I’m pretty sure this is a really unique and first case. So it is reasonable. They take more time to consider and take more of cautious effort, especially we have this, I call it, short report come out, right, all things put together. Anyway, we have confidence. As I said, we are a good housing company and good technology and with our strategy. And I think we should be overcome in this - I call, the event you get IPO in some market, but I believe this will both really benefit our expansion plan in China and that is where we are believing what they are win-win for the customer in China and our financial investor in the U.S. and also ACM Global growth. So it is a good thing to try to work out and make it happen.
Chi Tsai: Yes, thank you very much. My second question is regarding your R&D expense. I think you have a very big job on your first half R&D expense. I think that is very positive, given you are expanding your product portfolio. But can you give us some color on the long-term R&D expense or will it stay, let’s say, like high mid-teens going to next two, three years?
David Wang: Yes. Good question. Actually, let me put this way, as I mean a couple of earnings call and previous time, we want to balance, right, and profitability and also growth opportunities, so I think probably last two years, you can see about 10%, 11% R&D. And this quarter, we get into the 14%. So I think probably 15% is a good range for us to stay. Why it had this gross margin, 40%, 45%, this is all operations coming together. You have to gather 10% plus, that is kind of a profit - so we have got a value in the hand, and that probably give you [indiscernible] is probably a number we try to be keeping for the next two, three years. But let me add another difference were for other big guys, we spend the R&D money very efficient. Looking in the last two, three years, we are developing copper plating and we divide the furnace. We spend also semi-critical in the cloning process, also by end of this year, we are putting additional new function, other, even drive already come out and with our product. We are spending very efficient money. We spend every penny and dollar and to maximize our R&D effort. So I think 50% is a good number, and we have got a spending - we have confidence we are getting to our new product come out on time line. And also, I think our key for our success or R&D is we always get an innovation product all, I call, We don’t want to get me to, but number one. Number two, we also have a very good team and working in Shanghai and working with the Korean market and Korean site. So that really gives us a strong R&D effort and then really either our product in the market. That is really I mean, historically that. So with continued innovation, we are very confident. We will continue pushing R&D at the next level with the new innovation product come up.
Chi Tsai: Thank you, that is very helpful. Congrats on the business.
David Wang: Thank you.
Gary Dvorchak: Great, thanks. Next question please.
Operator: Our next question comes from the line of Christian Schwab from Craig-Hallum Capital. Your line is open. Please go ahead.
Christian David: Hey great quarter. I tried to sneak in two quick questions. I will just ask them quick. Recent news about a leading customers bond default, is that potentially going to have any impact on you is question one. Question two is, what happens if YMTC gets put on the entity list, is there any way to shift to them?
David Wang: Mark, you want to answer that or I -.
Mark McKechnie: Yes, I can start, and then if you finish. But yes, the first one on the bond defaults, David’s talked about that on prior calls. We are pretty confident that the operations of that customer are solid and our general thought is that financing will be available hopefully from - so long as the operation continues to execute that they can seek funding from other areas. And it is more of about ownership issue rather than a funding operation issue. In terms of the entity list, 1TC is an important customer. I think David talked about, we expect growth, but likely at a lower percentage. We are monitoring closely, and hopefully, they don’t get put on the entity list. We feel pretty confident given our manufacturing operation in Shanghai and a lot of our technology came from there that we might have some more flexibility to shift to - should they get put on the list. But of course, it is dependent upon their ability for the other suppliers to get licenses. So we will monitor it closely and we will update if necessary.
Christian David: Great, thank you for letting me sneak in two quick questions. Again, congrats on a good quarter.
Mark McKechnie: Great. Thanks Christian.
David Wang: Thank you.
Operator: That wraps up our Q&A session. I will turn back the call over to Gary.
Mark McKechnie: Guys I think that is it. I thank the operator, and everyone for participating on the call. I just want to mention some upcoming Investor Relations events. On August 24th, we are going to present at the Needham Second Annual Virtual Semi-Camp and EDA conference. On August 31st, we will present at the Jefferies Virtual Semiconductor, IT, Hardware and Communications Infrastructure Summit. In addition, we will present at the Jefferies Asia Forum on September 9th and the 22nd Credit Suisse and Asian Technology Conference on September 10th. Attendance at these conferences is by invitation-only for clients of each respective firm. So interested investors, please contact your respective sales representative to register for one-on-one meetings to secure time. So this concludes the call. Thank you, everyone, and you may now disconnect.
David Wang: Thank you, bye.
Operator: This concludes today’s conference call. You may now disconnect. Have a great day.